Operator: Ladies and gentlemen, welcome to the Givaudan 2020 Full Year Results Conference Call and Live Webcast. I'm Paulo, the Chorus Call operator. I would like to remind you that all participants will be in listen-only mode and the conference is now being recorded. The presentation will be followed by a Q&A session. . The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Mr. Gilles Andrier, Chief Executive Officer, accompanied by Mr. Tom Hallam, Chief Financial Officer of Givaudan. Please go ahead.
Gilles Andrier: Thank you. Ladies and gentlemen, good afternoon as well as good evening to Asia, and good morning to the Americas. Welcome to our 2020 full year results conference call. Tom Hallam, our CFO will also be on this call, who will take you through the presentation before answering your questions at the end.
Tom Hallam: Thank you, Gilles. It's also my pleasure to welcome all of you to the call. As Gilles taking you through the main aspects of the sales performance, as well as the market and the impact of COVID-19, I'll take you through the following slides with a focus on the operating performance, the cash flow and the balance sheet of the group.
Gilles Andrier: Thank you, Tom. Let me now come back to our 2020 strategy of achievements, which are shown on Slide 24. So, after five years of repeating continuously our 2020 targets, I'm sure by now you are well aware of what we had set out to do six years ago and I'll summarize those results. Givaudan successfully achieved an average sales growth of 4.9% on a like-for-like basis, and an average free cash flow of 12.6% of sales for the five-year strategy period from 2016 to 2020. In addition, we made 16 acquisitions, which I will comment further in the next slide 25. Indeed, acquisitions have been an important part of our five years growth path, and are all aligned with market trends and our strategic priorities. Since 2014, we have acquired 16 businesses for a total of over CHF3.6 billion, including the most recently acquired Ungerer, Indena Cosmetics and Alderys. Each one with a very strong and natural strategic rational, as well as a perfect cultural fit. Those 16 acquisitions represent an annual yearly contribution of more than CHF1.5 billion of our total group sales. We aim at further value creative acquisitions to complement our core capabilities and increase our portfolio of naturals, health and wellbeing, active beauty, ingredients contributing to ingredients - integrated solutions and local and regional customers, as well as new adjacent business areas of technologies like biotechnology with which we believe we can further provide value to our customers and our shareholders. Let's turn now to Slide 26. Let me know briefly walk you through some of the key highlights of how we successfully delivered on our 2020 strategy. Let's start with the first pillar, growing with our customers. We have significantly expanded our product and customer portfolio in key growth areas, namely naturals, active beauty, health and wellbeing and significantly expanded our local and regional customers, both organically and via acquisitions. We have also developed further our integrated solutions business to existing and acquired capabilities. Let me quantify some of our key achievements in our strategic segment. We have doubled our business in sales of naturals to almost CHF2 billion. We have achieved the number one position in Fine Fragrances with a 2016-2020 CAGR of 4.7%. We have developed an Active Beauty business of CHF100 million and an Alternative Protein business in excess of CHF100 million. In our Health and Wellbeing portfolio, we have achieved a 2016-2020 CAGR of 11.4% of sales, which are reaching close to CHF1 billion. And our portfolio of local and regional customers represents now 54% of our group sales. The second strategic pillar was about delivering with excellence. And it was all about the successful global implementation of Givaudan Business Solutions, GBS, which has been completed in 2020 and delivered not only the targeted benefits, but also fully revealed its full potential and agility in crisis times, such as last year with the COVID. GBS will continue to be of critical importance as we further integrate, as I speak the systems and supply chains of the acquired companies. Finally, automation, digitalization, the use of artificial intelligence and continuous improvement of our key business processes will continue to be a priority and have taken many forms throughout the organization. And finally, the third pillar of our strategy was around partnering for shared success. The objective of strengthening our global innovation ecosystem made a major leap forward with the opening of new flagship innovation center in Zurich. During the 2016-2020 period, we doubled sales from innovation linked to external collaboration. We launched the Connect to Win program to accelerate innovation in partnership with suppliers. And last but not least, we improved significantly our employee engagement and safety performance. Finally, our sustainability commitment has been well recognized and Givaudan won many awards including the CDP Leadership Score, and EcoVadis Gold Status. These are just a few examples that each of these objectives has been materialized by many other achievements in our operations around the world. Let's move now to Slide 27, our 2021 outlook. With this 2020 testing year, we are very confident in our capabilities and the critical role Givaudan played in the global value chain of food and consumer products. For 2021, visibility remained short as the pandemic is still around, and further lockdowns are still on the agenda of many countries around the world as I speak. Our view on the raw material price environment is that it should show a moderate increase of about 1% throughout the year. The entire organization will keep focusing on in the short-term protecting and supporting our customer and keeping our operations and supply chain at high levels to support our customers, whilst at the same time making sure we keep the current discipline on costs throughout the business. Secondly, we'll continue our focus on integrating the recently acquired businesses in our Givaudan operating platform. Integration costs should be in the range of CHF45 million in 2021. And finally, we'll focus on implementing our new strategic roadmap for 2021 to 2025 in line with Givaudan focus and strategy. Let me now turn to Slide 28 to remind you the highlights of this 2025 strategy. Committed to growth with purpose, this company's 2025 ambition is to deliver sustainable value creation for all stakeholders. Givaudan's 2025 strategy is fully in line with our purpose, while placing customers at the heart of our business, supporting them to grow and create products that are loved by consumers. The 2025 strategy is focused around three growth drivers, expand the portfolio, extend our customer reach, and focus market strategy. And it is supported by four growth enablers which are aligned with the company's top four domains, namely creation, nature, people and communities. The three growth drivers and the four enablers are all underpinned by a commitment to excellence, innovation and simplicity in everything we do. Let's turn now to Slide 29 that shows the performance commitment of the 2025 strategy. Ambitious targets are an integral part of not only our Givaudan 2025 strategy, but also of our culture. With the company aiming to achieve organic sales growth of 4% to 5% on a like-for-like basis and the free cash flow of at least 12% both measured as an average of the next five years period strategic cycle. In addition, the company aims to deliver on key non-financial targets around sustainability, diversity and safety linked to Givaudan's purpose. With that, we have arrived at the end of our 2020 full year's presentation. Ladies and gentlemen, many thanks for your attention. Tom and I are now looking forward to your questions.
Operator: We will now begin the question-and-answer session.  The first question comes from the line of Celine Pannuti from JP Morgan. Please go ahead.
Celine Pannuti: Good morning. Sorry, good afternoon, everyone. So, my first question will be on Fine Fragrances which had very strong year end. To which extent you'd think there was a bit of stocking ahead of the Christmas seasons? And how you feel about the year, even if we still have some lockdown in some key developed markets and travel retail, as I understand has not yet really picked up? The second one is on some of the market performance. I mean, Latin America has been very strong. On the contrary, we've seen that Southeast Asia was very weak. So, what is your feeling about the consumer as we enter '21 in Brazil? And equally, I think you spoke about down trading in some key markets. How fast do you think we can see a return of demand in countries like India and Indonesia? Thank you.
Gilles Andrier: Thank you, Celine. Good afternoon. So, on Fine Fragrances, and I would like to say the first thing is that yes, minus 6% throughout the year is a very good result. I think it combines two things. One is the fact that we certainly have gained market share. But the second important reason is the diversity of the clients and pull through that we have in our Fine Fragrances business, which has a lot to do with the diversity of clients, but also indirectly of the distribution channels. Yes, we are exposed on the sort of more prestige fine fragrance perfumes which are being sold in stores, in travel, retail and so forth. But on the other hand, we're also very well exposed to the other distribution channels, obviously indirectly on the internet, but also the door-to-door specialty retail in the U.S. And that's especially true for both Americas, North America and Latin America. So essentially, I would like to really explain this good result by again those natural hedges that we have already inside Fine Fragrances. The reason whatever shape, we can call it maybe a V-shape going down, really down in Q2, starting to recover in Q3 especially in the U.S. and then a strong finish in Q4. I would not put that with the expansion of proposing on the stocking up for Christmas, Christmas season in Fine Fragrances, has picked up already in May or June. So, it's a bit too late to plan for Christmas when you are in the fourth quarter. And I don't see any stocking for Q1, I don't see that happening either. So, I would say that, again, this has to do with we've seen a bit of the effect of sort of coming out of lockdowns especially in the end of Q3, Q4, that has maybe have had an impact, but also again, a strong rebound especially in the U.S. and in Latin America. From what we hear, the Christmas season has been okay around the world. So, I don't as sort of a negative sort of effect that, if I remember correctly happened in 2009 that we usually have in Fine Fragrances. I think the supply chain of Fine Fragrance is quite well managed and we don't have stocking in the different steps. One thing to mention is Q4 '19. So, the comparable Q4 '19 in Fine fragrance was actually quite weak. So, we had also an easy comparable for Q4 2020. The second question about, yeah, Latin America and Southeast Asia, difficult to read on Latin America. We are - given the fact that we have had a very continued performance, very good performance not only in 2020, but the years before. So even in the COVID environment, so this for sure, I can explain part of it, which is strong market share gain, with very strong win. So that is obviously helping, that is very clear. What's going to happen going forward, difficult to read, but we stay confident in Latin America. Southeast Asia, for sure, Southeast Asia and especially if you look at India. India, for sure, there has been a fantastic track record with double-digit growth in a very, very consistent way for years and years until it was hit by COVID. So, I believe that once and hopefully soon that will come out of the whole pandemic. We'll come back strongly in India to those levels. When is that going to happen? This is all going to depend on, obviously, the development of the COVID in India. And I would say the same for Indonesia, which has been especially hit in this region. So, the timing is really defined by basically the environment around COVID. But I'm quite confident given the portfolio, the diversity of clients that we have over there that we can come back to good growth in the Southeast Asia.
Celine Pannuti: Thank you.
Operator: The next question comes from the line of Matthew Yates from Bank of America. Please go ahead.
Matthew Yates: Hi, good afternoon, gentlemen. A couple of questions, please. The first one is maybe for Tom around free cash flow. So, you had conversion just below 13% in 2020. Can you comment about your expectations for 2021, I'm just thinking that your flacking raw materials may become a bit more inflationary? Capital expenditure look quite low in 2020. Should we expect free cash flow conversion to be lower in 2021 or there any offsets maybe missing? The second question maybe is around the partnership you announced with Novozymes late last year. If you can maybe just talk about some of the addressable opportunities here and what should our expectations be for seeing the financial impact of this in the results?
Tom Hallam: Okay, great, so thanks for the question. On the free cash flow, I think just a couple of elements and you mentioned them. First on the CapEx, I would say. Look, I think if you look and Gill really took you through Slide 5, and you see the strong demand that we had in our factories. Most of our factories were operating at a 100 or close to 100%, with the end for sanitary conditions. What is the implication for that is it means it's very difficult to take down parts of the facility to do capacity expansion projects or even in some cases to carry out routine maintenance has been difficult in 2020? So, really, since the start of the pandemic, we expected that we would be slightly lower on CapEx for 2020. And, if you look really at 2021, I would say probably as Gilles commented very much on the market, until we see some sort of relief in the market, it will be the same very much on the operations footprint. So, I think, certainly for 2021, CapEx is probably going to be very, very similar to 2020. With that in mind, if you look particularly at inventories and working capital, again, supply chains have been challenging in 2020. We had a strong focus on reinforcing our supply chain in the year. We've actually been holding a little bit higher inventory to meet the significant changes in customer demands through the year. And the other thing really just to comment on is, of course, Brexit was on everybody's mind up until the end of the year and a very late signing of the Brexit deal. So, we actually had an extra inventory at the end of the year, just as an additional buffer. So, I think, there is a bit more opportunity on the working capital in 2021. The CapEx, I would expect would be very much in line with 2020.
Gilles Andrier: And your question on the partnership with Novozymes, we are very happy and very much looking forward to this partnership. So, this is really about partnering together with the champion of enzymes, which applies especially on the home care category with ourselves leading in the fragrance world for home care. And really exploring together with our clients, how we can make, let's say, and optimize the respective offering that we have on the Fragrance with the enzyme, so that the whole basically mix one solution has a better performance for our clients. So, it doesn't mean that it's neither a merger and acquisition or capital or whatever. It's really a go-to-market partnership, exploring the possibilities together and giving this paucity to our clients. What's the financial impact? Too soon to say, let's explore together in the first place. Just to give you a reference point, consumer products represent more or less the two-thirds of the Fragrance division and the third of the consumer products is home care. So, that's basically the landscape that we have around the fabric care or home care, which where we can apply that. But still we're very excited about this partnership going forward.
Tom Hallam: Maybe sorry, Matthew, I just missed one part of your question was on the raw materials as Gilles said, we expect a raw material environment of around 1% in the year. So, I think, no significant pressure on free cash flow from that side.
Matthew Yates: Thank you both. Have a good day.
Operator: We now have a question from the line of Jean-Philippe Bertschy. Please go ahead.
Jean-Philippe Bertschy: Thank you. I have a question with regards to sustainability. And if this is related to acceleration of the market share gains of the past quarters, is that sustainability or the innovation or the execution? And the second one would be on your R&D priorities for the coming years? You can share that with us as well please.
Gilles Andrier: Sorry, the second on the R&D what?
Jean-Philippe Bertschy: What are your priorities for the coming years?
Gilles Andrier: Sorry.
Jean-Philippe Bertschy: Yes, if you had some changes with the different consumer behaviors and the consumer changes in the past month that would trigger some changes of your priorities.
Gilles Andrier: Yes, I mean, so the market share gains, the fact that we have high win rates and again, which I think is behind great growth in all those markets has to do with many things. Well as you know it takes many things to take win a breeze from having great creativity through greater ingredients through molecules through great encapsulation systems. We have a great relationship with our clients and so on. Consumer insights, so sustainability start to play a role, because our clients are more and more committed if not vocal about what they want to achieve in terms of making their offerings, renewable, there are things sustainable. And this is very much part of our agenda which again was launched more than one year ago with our purpose. So, yes you see a sort of an influx and a trend around having briefs, which become more and more and who have to meet more sustainability criteria, which I believe is great going forward. That means that, in terms of priorities in the research innovation, it's on many fronts. Obviously, the sustainability plays a role. How can we for example, for the sort of Fragrance Ingredients, which start from the crude oil feedstock which by definition is not a renewable resource, how can we make those ingredients sustainable from a renewable feedstock and sugar with enzymes micro. So, we have already made many steps. And we have a very successful fragrance ingredient called Ambrofix which has become the most sold and used fragrance ingredients which is 100% renewable. And that's a good example where it's the result of biotechnology, buttering and doing some part internally. So, the road is ahead of us and very much expected and awaited by our clients. So, biotechnology on the fragrance part play but also on the flavor is going to make an important role. Then obviously, the whole encapsulation system in fragrance is also a second part in the agenda, which is extremely important. How also can we make those biodegradable for example, also part of the agenda? And then many great exciting parts on the Taste & Wellbeing agenda, around naturals, around immunity ingredients, around preservative, around making some of those again, applying biotechnology. So that's a pretty exciting agenda we have ahead of us. Because at the end of the day, that's what our clients are expecting from us. Innovation differentiating points which make their brands and their products differentiated.
Operator: The next question comes from the line of James Targett from Berenberg. Please go ahead.
James Targett: Hello, good afternoon. A couple of questions for me. Firstly, just on thinking about the margin outlook for '21. Maybe you could just talk about some of the cost buckets, and the balance of the cost buckets this year. The COVID costs you incurred in 2020. How you'd expect them to compare in '21? Any normalization of your business costs GBS, etcetera, that'll be helpful. And then secondly, on sort of cost of innovation, you just talking about some of the exciting technologies and sort of categories that you have there. In terms of your customers sort of pulling the trigger on new product launches. Are we back to where we were pre-crisis yet or are we still more need to doubles? Maybe just a quick housekeeping one on the tax rate as well. If you can explain where we stand for this year? Thank you.
Tom Hallam: Okay, James, maybe I'll take the first one on cost and I'll cover the tax and then I hand it to Gilles. So, I think if you look at and we have a lot of detail in the financial report on the various cost elements. I think overall, I would say neutral 2021 versus 2020. I mean clearly, we had savings in 2020 related to travel. But you've seen particularly the articles on increased cost of freight so, particularly as we had a very challenging environment with customers. We had a significant increase in freight costs in 2020. So, I think that overall, we're fairly neutral for 2021. I think you should always look at both sides of the story. You can't - we clearly highlighted the more discretionary part of our business from a top line. And so, once we can travel as a company, that also means that consumers can travel and therefore we would expect to pick up in on the discretionary side. So, overall, I think it's probably pluses and minuses on cost, which makes it a neutral for 2021. On the on the tax rate, had a couple of one-offs in in 2020, which puts us at 15%. But long-term we have a guidance of between 12% and 14% for the effective tax rate.
Gilles Andrier: And then your second question about, I would say the rate of innovation. So, I mentioned the brief pipeline has remained strong for us, meaning the COVID-19 environment is not sort of decline because many of our clients seems responsible for developing products with us, have been active. Obviously being remote, our home office doesn't help. But I would say that the work on those even though a bit slow down, are still been very active. Now with the rate of launches as you say, if I take Fine Fragrances for sure, clients they're launching new perfume's when stores are closed. That's pretty obvious so some of those have been delayed. As well as some other opportunities like we like to call the cross-selling opportunities, for example, between Naturex and Givaudan, where we have opportunities to sell some of the Naturex products to Givaudan clients and vice versa. We had built up a very nice pipeline of opportunities, but because of COVID, that actually slowed down the materialization of those types of initiatives. Because clients don't - they are taking those decisions, whilst you are in the COVID environment. So those opportunities are sort of pushed a bit into the future. On the other hand, in our world, when you have usually less new launches, you also have less erosion, because at the end of the day, what defines the growth is what consumers consume, whether it comes from existing products or it comes from new products.
James Targett: Thank you.
Operator: The next question comes from the line of Charles Eden from UBS. Please go ahead.
Charles Eden: Hi. Good afternoon. Just a quick question for me, in terms of the makeup of your organic sales growth in 2021. Clearly in 2020, if I'm right, about 80% of your reported organic sales growth came from volume growth, just as we look to 2021, you talked about some modest raw material inflation played up with a delay in taking pricing. Could we expect some pricing to return to your organic sales growth in 2021? Thank you.
Tom Hallam: Charles, thanks. As you said, I mean, about 80% of our growth in 2020 was volume. Then, of course, as you remember, we had some price increase in Q1 on Fragrance and Beauty. And then, of course, the FX, what we call the FX pricing throughout the year as we were really pricing in Latin America. I think as we as we said raw materials at around 1% increase for the year, of course, it's fairly simple to calculate the price increase and that we will have with customers. And but that's really the only element I think you need to take into account.
Charles Eden: Super, thank you.
Operator: The next question comes from the line of Thomas Wrigglesworth from Citi. Please go ahead.
Tom Wrigglesworth: Tom, thanks for the opportunity to ask couple of questions. The first one is, could you just remind us, given the net debt-to-EBITDA where you're comfortable going to both on the upside and the downside case, noting that obviously value creation for acquisitions remains an ongoing focus, I assume, for management? That's my first question. And then my second question, double-digit growth in China in the Taste business. Often clicks me, if that's the market rate of growth, or if you're taking share in China? And, can we unpack that a little bit are there - is that a one-time effect of this China's taking share out of other geographies in Southeast Asia or is there a factory in China that means that's a - this high rate of growth is sustainable? Thank you.
Gilles Andrier: Yeah, I'll start with your question, and then I'll hand over to Tom. In China, there is not such a thing as taking share from Southeast Asia to explain China. I mean essentially, we don't see I mean I can't relate to any one-time effect that we would explain the China. I think the double-digit growth is essentially what I would expect from China essentially. So, maybe you had a bit of catch up for the - the impact of COVID was about two weeks - two to three weeks on ourselves. So maybe you had a bit of catch up the course of Q1. But essentially, those good sales developments are simply good share development, good launches of products, and that's it, so no other specifics.
Tom Hallam: And then, just on net debt. So minimum and maximum I mean, if you look historically at where we've been, and where we've been comfortable. We've been up to four times net debt-to-EBITDA and even probably slightly higher at one point after the Quest acquisition. And minimum has been, I think at one point we were lower. So, one-times net debt-to-EBITDA. So, I think when we've been low it's really to look at opportunities. And that's really, if you look at Gilles mentioned the 16 acquisitions where we had a strong balance sheet, and we were able to execute those acquisitions over time. And I'd say, if you look at where we are today, very comfortably within that range, so we're just under three times net debt-to-EBITDA at the end of 2020, which is very much in line with the two strong ratings that we have.
Tom Wrigglesworth: And just kind of in that context, is the current environment enabling kind of the M&A pipeline, are there more opportunities coming in either because of distress or people wanting to sell, because asset valuations have been compelling? And how do you climb out with where you are in, obviously, having had a very active kind of last 12 to 18 months?
Tom Hallam: So, I think Thomas, firstly on distressed. I mean, generally we are not distressed, and that means that many of the companies we're looking at are not distressed. If they are, that probably means that we're not looking at them. Because, what we're looking for is businesses that are resilient and have survived some of these tests and this is something we certainly look at. We look at the pricing power of the companies, we look at the technologies. And, so I don't think we would be interested in distressed assets as such. The pipeline is good overall, very much as we've done in the past bolt on acquisitions. And, of course, sellers always have expectations in terms of valuation. But we also have an expectation in terms of price and in terms of creating value for our shareholders. So, as I say a strong pipeline, but we remained disciplined going forward.
Tom Wrigglesworth: Okay, thank you very much. Gilles, Tom, thank you.
Operator: Next question comes from the line of Daniel Jelovcan from Mirabaud. Please go ahead.
Daniel Jelovcan: Yeah, good afternoon as well. The first question is, in terms of the consumer products which grew very strongly obviously, as you said, also because of COVID. Do you think that this will be sustainable maybe because people just change the habitude or is that growth going to set back a little bit? That's the first question.
Gilles Andrier: Yeah, of course, you could come to that it becomes a high comparable for 2021. But at the same time, as a result, we grew 9% in consumer products this year, but compared already to an 8% in 2019, where there was no COVID. So that reflects also the fact that we are gaining market share strongly in consumer products. So, yes, it's been bit supported by the COVID environment, but it's also because we are doing well in this segment. So, going forward, we stay confident that it's not going to go into a sharp decline simply because we have the 9% growth.
Daniel Jelovcan: Yeah. And second question is, I mean, your fourth quarter with 4.8% organic growth was outstanding, when you look at the two listed peers. And one of the listed peers are good with the less selling days and you're gentlemen's not to disclose that, but I think without the far less selling days for Christmas and New Year, according to my calculation, your gross would have been even double-digit kind of in the fourth quarter, is that the correct assumption or you don't care too much?
Tom Hallam: Your question is a bit too complex. No, we're not playing and explaining all sorts of things with calendar. So yeah, it's what it is and that's the stuff. So, we also have a different number of days by quarter, if we start to expand every quarter, because of the number of days from one year to the other, it starts to be complicated.
Daniel Jelovcan: Okay. And the last question, thanks very much for the slide 5, which is very interesting. So, is it fair to say when you mentioned that the lower impact business grew 7.7% last year, it is fair to say that, let's say, your adjusted EBITDA decreased, without COVID your business would have grown maybe even more than that assumption?
Tom Hallam: On the Taste & Wellbeing?
Daniel Jelovcan: No, in general for the group?
Tom Hallam: In general. Yeah, but you see what you have to consider. Well, okay. So, the two things are not exactly the same. So, you could argue that the dynamics I think on fragrance, and - sorry, tastes are a bit different. If I look at the fragrance, you can argue that, okay, you have shops which are close duty free, people who can travel, so that has a direct impact on the Fine Fragrance sales. But this is not sort of shifting to consumer products, the two things are absolutely bigger, right be careful. People just staying at home, they consume more consumer products. They can go to a perfume store and they don't buy products. So, two things are a bit decoupled. Whereas on the Taste & Wellbeing it's a bit different. The fact that people can't eat outside home, well, they're going to be more inside the home. And so that's why the Foodservice going down, has an influence on the good growth of the rest of the business. So, the two things are more coupled in Taste & Wellbeing as opposed to Fragrance. If that is clear.
Daniel Jelovcan: Yes, sorry. Yes, that's quite clear. And can you tell anything about Foodservice declining, small adjustments that you offer more to, I don't know, takeaway service within a restaurant or whatever? Is there any adjustments or you have to almost…
Gilles Andrier: Yeah. We have small alternative models, obviously, of restaurants delivering at home with - yes, out of the kitchen of restaurants delivery at home, which compensates slightly, but it's not enough to compensate just the fact that restaurants are closed, so the only thing that can help with foodservice is reopening, reopening restaurants, having more events. You have to imagine obviously that also the fact that people are not traveling around the world has also a big impact on foodservice everywhere. So, all those things sort of are in the way of having a good development of foodservice. But again, at the end, people still have to eat something. So, that helps on the non-Foodservice side. So, I think that was the last question. Or maybe we have a last one.
Operator: The next question comes from the line of Georgina Iwamoto from Goldman Sachs. Please go ahead.
Georgina Iwamoto: Thank you. This is Georgina here. Hi Gill. Hi Tom. This is my first call with Givaudan and I was really hoping to make a good impression. But I have some amusing construction going on next door, so I apologize for the drill noises. I've just got one question and it specifically on flavors and the growth outlook there. It seems to me that naturals is still going strong, health and wellness is still going strong. And the plant-based opportunity is starting to become more visible, it certainly becoming more material. And so is it fair to say that we'll continue to see more innovation and therefore more growth in flavors going forward?
Gilles Andrier: Thank you for - you mean more in flavors and well. So, for sure, the plant-based proteins naturals are trends that we are focusing on. This is as I said, clearly part of the 2025 strategy. We achieved more than CHF100 million of sales for the plant-based alternatives and this is going to grow fast in the coming years. The whole health and wellness platform is going to grow, so all those trends are there to fuel the Taste & Wellbeing division. I don't know if you can say that it's going to mean that the flavor and the Taste & Wellbeing division will grow faster than the Fragrance side, but essentially that's what we can say at this point.
Georgina Iwamoto: Okay. And so just to clarify, and maybe it can go faster than history and more towards the rate that's in Fragrance, in Taste & Wellbeing.
Gilles Andrier: The future will tell.
Georgina Iwamoto: Okay, thank you.
Gilles Andrier: Thank you very much. That was the last question. I thank you very much for your attention, your questions. I'd just like to remind you that we will publish our Q1 2021 sales on the 13th of April of this year. And you are welcome to register to the investor event, which will be and will take place on the same day. Thank you again. And have a great day.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call and thank you for participating in the conference. You may now disconnect your lines. Goodbye.